Operator: Good day, and welcome to the Bel Fuse Inc. First Quarter 2020 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Dan Bernstein, President and Chief Executive Officer. Please go ahead sir.
Dan Bernstein: Thank you, Sandy. Joining me on the call today is Craig Brosious, our Vice President of Finance; Lynn Hutkin, our Director of Financial Reporting. Before we begin the call I'd like to ask Lynn to go over the safe harbor statement. Lynn?
Lynn Hutkin: Thank you, Dan. Good morning, everybody. Before we start, I'd like to read the following safe harbor statement. Except for historical information contained on this call, the matters discussed on this call, such as statements regarding positive signs positive signs in Bel's underlying business, the placement of replenishment orders and the anticipated improvement anticipated improvement in sales and financial results in the second quarter of 2020, as compared to the first quarter of 2020, are forward-looking statements as described under the Private Securities Litigation Reform Act of 1995 that involves risks and uncertainties. Actual results could differ materially from those projections. Among the factors that could cause actual results to differ materially from such statements are: the market concerns facing our customers; the continuing viability of sectors that rely on our products; impact of public health crises, such as the governmental, social and economic effects of COVID-19; the effects of business and economic conditions; difficulties associated with integrating recently acquired companies; capacity and supply constraints or difficulties; product development, commercialization or technological difficulties; the regulatory and trade environment; risks associated with foreign currencies; uncertainties associated with legal proceedings; the market's acceptance of the company's new products and competitive responses to those new products; the impact of changes to U.S. trade and tariff policy; and the risk factors detailed from time to time in the company's SEC reports.  In light of the risks and uncertainties, there can be no assurance that any forward-looking statement will in fact prove to be correct. We undertake no obligation to update or revise any forward-looking statements. We also may discuss non-GAAP results during this call, and reconciliations of our GAAP results to non-GAAP results have been included in our release. I would now like to turn the call back to Dan for a general business update.
Dan Bernstein: I like to thank everybody for joining our call today, and I hope that you and your families are staying safe during this difficult period. Before we begin, I'd like to take a moment to acknowledge our manufacturing associates who are on the frontline today. I would like to extend our sincerest thank you to the associates in each of Bel's factories around the world, who continue to come to work each day with courage and dedication to our company and our customers. Turning to our business update, the first quarter was a challenging one as a result of COVID-19. As a supplier of electronic components to be used in defense, medical and networking applications, Bel's products are deemed substantial in today's business environment. Our first priority continues to be the safety of our associates around the world as we continue to provide these products for to our customers. As of today, we are pleased to report that all our manufacturing sites are operating with a majority of them at near our normal production rates. However, this continues to be a fluid situation. First quarter sales were largely impacted by our factory closures in China for two weeks early in the quarter due to COVID-19. We're estimating that our sales were short by approximately $14 million to $17 million due to these closures and a slower return to full production after the extended Chinese New Year. Separately, our sales in the commercial aerospace applications were down $3.4 million compared to the first quarter last year due in part to the grounding of aircraft at one of our aerospace customers. These factors are partially offset by $8.2 million of sales during the quarter from the recently acquired CUI business and a $1.7 million increase in sales related to domestic military applications versus last quarter – last year's first quarter. Further, we're starting to see a rebound in sales through our catalog distributors during the quarter, which was encouraging. The volume orders received in the first quarter was strong at $132.6 million, which includes over $11 million in CUI bookings. Excluding CUI, our first quarter bookings were the same as the first quarter last year and were up 5% compared to the fourth quarter of 2019. The increase in the fourth quarter we see across all our power product lines. Our Magnetic Solutions segment also contributed a noted increase in bookings. These reassuring data points indicate an improvement in sales for the second quarter as compared to the first quarter. We continue to implement a corporate-wide cost-savings program to look at all areas for improvement.  Long-term new ERP system is implemented which will allow us to further streamline and eliminate redundancy throughout the organization. At this time, we have very limited visibility beyond the second quarter due to the fluid COVID-19 situation.  With that, I'd like to turn the call over to Craig to go through the financial updates.
Craig Brosious: Thank you, Dan. Sales by product segment for the first quarter of 2020 were as follows: Connectivity Solutions sales were $39.1 million, a decline of 12%; Power Solutions and Protection sales were $36.1 million, down 16% from last year's first quarter; and Magnetic Solutions sales were $28.8 million, down 25% from last year's first quarter. On a consolidated basis, gross profit margin excluding R&D expense, declined slightly to 24.2% in the first quarter of 2020, as compared with 24.5% in the first quarter of 2019, as the margin impact of lower sales and operational inefficiencies related to COVID-19 were largely offset by a $2.2 million relief funding received from the Chinese government during the first quarter. A portion of the reduction in sales is related to anticipated lower demand from certain of our OEM customers, as discussed on last quarter's call. We were able to mitigate the impact of these lower revenues by proactively reducing labor and overhead expenses accordingly.  Research and development costs were $6.1 million during the first quarter of 2020, a decline of $1.1 million from the first quarter of 2019 as a result of restructuring efforts implemented during the latter part of 2019. Our selling, general and administrative expenses were $22.1 million or 21.2% of sales as compared with $19.2 million or 15.3% of sales in the first quarter of 2019. The $2.9 million increase in SG&A primarily related to a $2 million unfavorable fluctuation in the cash for undervalue of our company-owned life insurance policies compared to last year's first quarter. Incremental SG&A costs associated with the inclusion of CUI in the first quarter of 2020 were partially offset by lower ERP costs this year. On a go-forward basis, we would expect SG&A to run between $20.5 million and $21.5 million per quarter in the near term. These factors resulted in a loss from operations of $3.1 million in first quarter of 2020 as compared to income from operations of $3.4 million in the first quarter of 2019. Other income and expense net was an expense of $88,000 for the first quarter of 2020 as compared to expense of $779,000 during the first quarter of 2019. The expense in the first quarter of 2019 largely related to $573,000 in foreign exchange losses. Interest expense was $1.4 million in the first quarter of 2020, down slightly from the same quarter last year due to the lower interest rate in effect during the 2020 quarter, coupled with a reduction in the average debt balance throughout the first quarter of 2020. We had a benefit from income taxes of $772,000 in the first quarter of 2020 compared to a provision of $39,000 during last year's first quarter. The benefit in the first quarter of 2020 reflects a reduction in guilty tax and tax benefits associated with the Payers Act. Earnings per share for Class A common shares was a loss of $0.30 per share in the first quarter of 2020 as compared with earnings of $0.08 per share in the first quarter of 2019. Earnings per share for the Class B common shares was a loss of $0.31 per share in the first quarter of 2020 as compared with earnings of $0.05 per share in the first quarter of 2019. On a non-GAAP basis, which exclude certain unusual and other nonrecurring items, EPS for Class A shares was a loss of $0.28 per share in the first quarter of 2020 as compared with earnings of $0.20 per share in the first quarter of 2019. On a non-GAAP basis, EPS for Class B shares was a loss of $0.29 per share in the first quarter of 2020 as compared with earnings of $0.22 per share in the first quarter of 2019. And now I'd like to go through some balance sheet and cash flow items. Our cash and cash equivalents balance at March 31, 2020, was $68.4 million, a decrease of $3.9million from December 31, 2019. During the first quarter of 2020, we generated cash flows from operating activities of $8.2 million. We made net payments of $8.2 million towards our outstanding debt balance and used cash for capital expenditures of $1.8 million, dividend payments of $806,000 and interest payments of $1.3 million. Accounts receivable were $69.1 million at March 31, 2020, as compared with $76.1 million at December 31, 2019. Day sales outstanding decreased slightly to 60 days at March 31, 2020, as compared to 61 days at December 31, 2019. The reduction in our accounts receivable balance was largely due to lower sales volume in the first quarter of 2020 as compared to the fourth quarter of 2019. Inventories were $104.3 million at March 31, 2020, down $3 million from December 31, 2019. The decline we've seen in finished goods, partially offset by increases in raw materials and WIP balances. The temporary interruption of our manufacturing processes in China earlier in the quarter slowed the rate at which we converted raw materials to finished goods during the quarter. Accounts payable were $38.8 million at March 31, 2020, down $5.4 million from its level at December 31, 2019, primarily due to the payment of CUI past due accounts payable post acquisition in addition to lower overhead costs in China during the first quarter related to the temporary facility closures. Sales total outstanding debt balance was $135.1 million as of March 31, 2020. Net of deferred financing costs, a decrease of $8.6 million since the 2019 year-end balance. This primarily reflects a voluntary prepayment of $8.2 million made during the first quarter of 2020 in connection with an amendment to our credit facility. Book value per share, which is calculated as stockholders' equity divided by our combined A and B classes of common stock outstanding, was $13.19 per share at March 31, 2020, as compared to $13.69 per share at December 31, 2020. And with that, I'll turn the call back over to Dan. Dan?
Dan Bernstein: Thank you, Craig. At this time, Sandy, could we open up the call for questions?
Operator: Absolutely. [Operator Instructions] The first question comes from Theodore O'Neill at Litchfield Hills Research.
Theodore O'Neill: Thanks very much. Just a couple of questions here. Can you give us some color on customer inventory levels? And you mentioned bookings at the beginning of the prepared remarks, I wonder if you could give us some more color on that as well.
Dan Bernstein: All new customer – all our customers, our current customers, besides the aerospace customer, all – we think they're in a good situation. We are seeing a lot of bookings come in, reminder every day. And it looks like our bookings are still holding strong. So I'm assuming that if that's the case, our customer needs our parts and they want our parts to come in. Craig, do you want to answer the next question, the second part?
Craig Brosious: Yes. I mean, sure. Kind of following along with that, what Dan said, I think we are not seeing a lot of evidence that we're seeing there's a buildup going on. I think it's – there is true demand in the channel right now. But again, our visibility is somewhat limited further than on our lead times.
Theodore O'Neill: Okay, that’s helpful. Thanks very much.
Dan Bernstein: Okay. The only thing I would add to that, currently, we see probably we get 100 calls in, probably 95 are for expediting and maybe only five are for pushbacks. So we still see that type of demand out there.
Theodore O'Neill: Okay, that’s great. Thanks.
Operator: [Operator Instructions] The next question comes from James Ricchiuti at Needham & Company.
James Ricchiuti: Hi. Thank you. Good morning. I just wanted to follow up on the commentary that you're making about the level of business activity. I'm wondering, if we put aside the commercial aerospace customer and we look at the military, medical and maybe the networking area, can you give us a little bit more color on which of those verticals you have perhaps more visibility or where you're seeing more order strength?
Dan Bernstein: So networking is easy because networking works quarter-to-quarter, and we have seen good orders coming from some key networking customers like in Cisco, like in Nokia. The problem with military is they come – they – these programs are 10, 15-year programs. So when the orders come in, you might get an order and you won’t see another order because that order holds you for like 1 year, 1.5 years. So that’s why we don’t see anybody push backing, we don’t see anybody canceling orders, but we have a lot more visibility with networking because it’s shorter time frame. Yes, in addition with medical, there’s a big push. We’re probably working with five companies, all looking to build ventilators and support medical equipment that you need today. So that’s a big rush that I think all companies are faced with.
James Ricchiuti: Was that a – how much of a benefit was that? I assume probably a relatively small benefit, Dan, to what you just mentioned in the March quarter, you were saying the expectation is that will be more of a benefit in the June quarter. But I would also imagine that’s more of a temporary thing, right?
Dan Bernstein: No. I think now we’re seeing a lot of the push is to get product in the second quarter. And still, if you look at what Intel came out with TI, Maxim, people that are a lot bigger, they all have this concern about what’s going to happen in the third quarter. And if they are concerned, I definitely should be concerned. But a lot of this is, hopefully, we can get it out in the second quarter.
James Ricchiuti: Thank you. CUI, looks like it had a really nice quarter here and considering the contribution they made. Was – just because of our experience of that is fairly limited, was there anything unusual about the CUI business? Where is the strength that they’re seeing? And is that something that we can continue to look for?
Dan Bernstein: I think their strength, they really address the second-tier, third-tier customers very well. They know how to use the catalog distributors very well. So they have a very strong, diversified customer base. And I think what happened at the end of last year, most of the large distributors were working down their inventory. And that’s – I think 50% of their sales go through catalog distributors. So a lot of their bookings, a good portion of their bookings came from there. Also, I think they do a lot bigger job with medical companies, the second-tier, third-tier America companies, because they have such a broad array of products. So they get to see a lot larger market than we probably have.
James Ricchiuti: Got it. And I have two final questions, and I’ll jump back in the queue. Looking at the – pulling out CUI, it looks like the Bel stand-alone margins were pretty healthy. And I’m wondering, was that a mix issue that benefited the margins a little – maybe a little more than we thought considering the environment?
Dan Bernstein: Okay. I’ll let Craig and Lynn address that.
Lynn Hutkin: Yes.
Craig Brosious: We got a favorable benefit. I mentioned that we received some subsidies from the Chinese government that is basically kind of refunds of social security taxes that we had paid earlier in the previous years. So that helped to offset a lot of the additional costs that we incurred going because of the delays that we talked about in reopening our factories and so on. I think we did have a favorable sales mix. We did – in the power group, there was some business that in the prior year’s quarter was margin challenged that’s not there in this current quarter. So that also helped in the overall margin picture.
James Ricchiuti: And Craig, that benefit that you saw from the Chinese government from the relief funding, what did that represent in terms of – did you say from the standpoint of the margin improvement, 100 basis points, do you think?
Craig Brosious: It was probably maybe a 1.5 percentage point impact to the overall margin for the quarter.
James Ricchiuti: Got it. Thank you. I’ll jump back in the queue.
Dan Bernstein: And Jim, just on that note, to add, we are making a concerted effort with our power group, really trying to focus on maybe, again, not the high-volume data center customers as we did in the past where we had substantial sales at very little margin. And I think we’re doing a much better job of focusing on the industrial markets where the margins are substantially better, also utilizing R&D better and trying to streamline power. It’s been a major focus of us since we bought Power One how to really capitalize on that group. And I think we get to a point now that I think we should start seeing good improvements over the next three or four quarters.
James Ricchiuti: Got it. Thank you.
Operator: The next question comes from Hendi Susanto at Gabelli Funds.
Hendi Susanto: Good morning, Dan, Craig, and Lynn.
Dan Bernstein: Good morning, Hendi.
Hendi Susanto: May I ask about China? What does China market look like? And at what production rates are your facilities in China running at?
Dan Bernstein: Okay. Just – so China looks very, very strong at this point in time. And for us, they’re our driving engine. The only concern that we have is from a logistics standpoint, getting product in and out, shipments – as shipments, a lot of the commercial airlines have cut back substantially. But from a manufacturing standpoint and a good portion of what we build in China goes in China through the subcontractors like the FoxConn or Jabil or Flextronics. So we’ve been very, very fortunate that China was only shut down for two weeks. And then it roughly took them about four weeks to get back to roughly 90%, 95% production. And hopefully, the gap we can make up with overtime.
Hendi Susanto: So if I may clarify, at least like 95% to run rate prior to COVID-19?
Craig Brosious: I think maybe to qualify that a little bit, Hendi. We’ve got about 90% of our workforce back or 90%-plus, if you want, yes. But because of the actions we had to take to facilitate the changes for health and safety and so long related to COVID-19, so our efficiencies aren’t back to that prior COVID level. So even though we’ve got 90% of the employees back, we’re not quite at 90% in terms of an output efficiency yet.
Hendi Susanto: Got it. And then, Craig, how should we think about gross margin and OpEx in Q2 and the remainder of the year? I know that for the second half of the year, there are uncertainties, but I’m wondering what kind of flexibilities you have one way or another?
Craig Brosious: Yes. I mean we are – I mean we can look out to the second quarter. Like Dan said earlier, we don’t have a lot of visibility out past that. And this comment is assuming that the factories that are currently operating today will continue to operate, it’s that – that changes – can change on a daily basis. I would think that our margins would be comparable, maybe slightly down to Q1 because we did have that benefit from the Chinese government impact our margins in Q1. So I think I would think for Q1, we should be flat to slightly down.
Hendi Susanto: And then how about OpEx, Craig? Does Q1 OpEx level represent a good baseline?
Craig Brosious: Yes. I believe it does. I mean we did have the $2 million item that related to our insurance policy to valuate the cash from the value. On the insurance policies, we had that adjustment based on the market values of the underlying securities. We don't expect that to be recurring every quarter. So we believe that 20.5% to 21.5% is a good baseline for OpEx.
Hendi Susanto: Okay. And then, Dan, I'm interested in hearing more about networking markets. You indicated that orders are good. I'm wondering like what kind of end products drive those orders when you think about networking on modeling whether there's some like, let's say, like a temporary benefit of like higher bandwidth requirement because of the more [indiscernible] at the med school. But I'm wondering whether there are more strengths beyond that.
Dan Bernstein: Again, since our products are into so many different – the same products are going to so many different products at Cisco, it's very difficult to determine when the end mark is – that we take – again, looking at Cisco and looking at addressing big markets out there, that's all I can say. I don't know specifically how does it affect the person that's working from home, is that where that business is coming from or is it going to Verizon? I don't have that granular detail.
Hendi Susanto: Got it. And then any pointers in term of how self directionally you may look like in Q2, let's say, among Connectivity, Magnetic, Power and CUI? Any put and takes?
Craig Brosious: Lynn, do you want to address that one?
Lynn Hutkin: Yes. I'm sorry. Can someone repeat that question for me? Like that came through muffled.
Hendi Susanto: Lynn, I would like to know whether there are some insight into what the expectation for different segments like Connectivity, Magnetic and Power and also like CUI when it comes to Q2, whether you expect directionally some of them whether they're flat, up or down?
Lynn Hutkin: Sure, sure. So I think for Magnetics, that's probably the one area that we anticipate seeing some growth in Q2. Our demand orders received throughout 2019 had been low from a particular end customer as they had an over inventory situation and that had them worked through, and we've been seeing replenishment orders there. So that does look strong. CUI bookings in Q1 were one of their strongest bookings quarters that they had in their history. They had over $11 million in bookings for Q1. So we do expect them to have a strong Q2 coming up here. On the rest of the Power side, it does look a bit challenging. There was one customer that we had last year in the cloud space that there were some challenges with the tariffs. And so we do expect some increase this year versus last year related to that customer. And then on the Connectivity side, we do see strength in military. We continue to see challenges on the commercial aerospace side and also our structured cabling side with our Stewart products. Those are our areas of challenges. So we have some offsets within Connectivity. But I guess just more broadly, distribution impacts all of our product groups, including the recently acquired CUI, and we do expect that to start picking up. We did see some rebounding in catalog distributors in Q1, which is always a good sign. So – and that does impact all three of our product groups. So we hope to see some growth there.
Dan Bernstein: The only thing we would add is our circuit protection. One thing we would add under Power, we have our Circuit Protection Group, and they almost doubled their backlog. So that's a strong side because our circuit protection group does have a diversified customer base.
Hendi Susanto: Got it. Thank you, Dan. Thank you, Craig. And thank you, Lynn.
Dan Bernstein: You’re welcome.
Operator: The next question comes from James Ricchiuti at Needham & Company.
James Ricchiuti: Thanks. I just had a follow-up with respect to the shipments that had been deferred from to Q2. That $14 million to $17 million, do you anticipate that all shipping in Q2?
Dan Bernstein: I think we're – our hopes are yes, we should be able to ship all those products out.
James Ricchiuti: Got it. And just – go ahead, Dan.
Dan Bernstein: No, no. Go ahead. I'm sorry.
James Ricchiuti: I was just wondering, any challenges you experienced in the quarter in China? Was there any shift from potentially to competitors that had manufacturing capabilities outside of the affected areas where you might have temporarily lost some share? Or do you feel that all things considered you're able to hang on to share?
Dan Bernstein: I think the shift came before this. I think it came through tariffs. So we did have one or two key customers didn't want to be in China because of the tariff situation, and we lost them, but not because of COVID-19. More importantly, though, now when the whole world is being affected, if you look at Malaysia, Thailand, the Philippines, we do see opportunities out there where people are coming to us. Again, back to the Circuit Protection, our competitors on our building in China, they're building outside of China, and they haven't been able to produce parts in four to six weeks. So we do see some upside now because we're based in China.
James Ricchiuti: That's potential upside that benefits you. At least in Q2, we'll see if it helps in the second half. Okay.
Dan Bernstein: So I'm just – Jim, the way we try to do this, if at all possible, if a customer comes to us and they haven't been to us before and they want us to fill this void, we would sign up -- they would have to set up for either a six-month agreement or they would have to take a price increase. Probably just -- we won't accept one-off orders.
James Ricchiuti: Got it. Okay. Thank you. Thanks a lot.
Operator: [Operator Instructions] The next question comes from Lenny Dunn at Mutual Trust Company of America.
Lenny Dunn: Good morning. First of all, Dan, I wanted to complement you. This is the first time I've ever seen you buy stock, and I think you bought a number of times. So that does show confidence in…
Dan Bernstein: Just don't tell my wife.
Lenny Dunn: Oh, boy. I blew it I think. But yes, the other thing is -- this is kind of a curiosity question. Obviously, CUI seems to have been bought at the right price, and it's helping you. But I was wondering if you realize that they did have late payments from receivables because I noticed that you in your release discussed that. And obviously, you don't do that, so you paid it. But were you aware of it at the time of the purchase? 
Dan Bernstein: Craig?
Craig Brosious: Yes. We were aware of that earlier on in the discussions. I think what happened was as we got through the period prior to closing, I think we've got a little worse than what we expected. But in our purchase agreement, we did have an adjustment for working capital. So that did not really hurt us at all when we took the control of the company.
Lenny Dunn: Yes. I figured that one out. And I -- also, I'm sure going forward it won't be a problem because historically, you've been very good about paying your bills, so…
Craig Brosious: Maybe too good is the problem.
Lenny Dunn: Well, you have to. You establish a good relationship, then people would tend to want to service you better. But I understand because no one really knows what the third quarter will be like. But if assuming this doesn't work out in some disastrous manner, and I have been trying to think it won't, but no one knows for sure, would you say that you think that business will be reasonably normal in the third quarter if we don't have some setback of the virus?
Dan Bernstein: Craig, do you want to take that one?
Craig Brosious: Yes. I mean, I think, obviously, it all depends on how quickly the global economy recovers. We're not anticipating that sharp recovery that people talked about earlier. We think it's going to be kind of more gradual unless there's a major setback somewhere. So we think we're in a pretty strong position in the way our cost structure is set up and our customer base, and so I think we're in a good position to prosper. 
Dan Bernstein: I think the other key point, maybe historically, we might have been a little overly focused on the top line. And now we are trying a major effort that we hopefully complete. It's going to take us maybe -- because we're moving products around that we really want to look at the bottom line and focus on growing our margins and growing our profit. And if that means we lose some top line growth, I think at this point, we're willing to accept that fact. So I think whenever this ends, I think we'd be a lot stronger company with the moves that we're putting in place now and the actions we're taking today.
Lenny Dunn: No. It looks that way. It looks like this is a totally different picture than you had in the last conference call. So I'm very pleased with that, by the way, that -- but it does look that way. And I really hope -- we did okay with the CUI, but the Power One was highly questionable. So I hope that we can kind of just work with what we have and integrate that and make money with it. Is that the plan at the moment?
Dan Bernstein: I don't -- I think with CUI, we don't look at as a strategic -- synergistic acquisition at all. I think they have a really good model that we like, a diversified customer base. They address our overall market. I think what we're trying to do is how do we know. We don't think we want to combine things and take costs out at all. What we are trying to do is we do have companies that have broader-based products like signal transformer, like the circuit protection and how can we capitalize on the creativity of CUI and how they go to market and the margins they bring that we don't have and really have a good model of CUI because they work, because they have no -- it's a marketing company, they have no manufacturing. So we think that's a model that could be an important player at Bel. So again, what we're looking is to grow that business, that model and look at how do we do maybe more private labeling, more joint ventures with companies and not be overly focused that if we don't manufacture it, we don't sell it, and look at CUI as a viable model that we can apply to other companies.
Operator: There are no further questions. I'd like to turn the call back over to Dan Bernstein for now for closing remarks.
Dan Bernstein: Once again, we're very appreciative for everybody to be on the call during this difficult time. I want to thank you for the attention you give Bel. And hopefully, we can deliver going forward and please be safe.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.